Operator: Welcome to the IBEX Third Quarter Full Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. To note, there is also an accompanying earnings deck presentation available on the IBEX Investor Relations website at investors.ibex.co. I will now turn the conference over to your host, Ms. Brinlea Johnson with the Blueshirt Group.
Brinlea Johnson: Good afternoon and thank you for joining us today. Before we begin, I want to remind you that the matters discussed today on today's call may include forward-looking statements related to our operating performance, financial goals, and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call and we undertake no obligation to revise this information as a result of new developments, which may occur. Forward-looking statements are subject to various risks, uncertainties, and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on Form 20-F filed with the U.S. Securities and Exchange Commission on October 14th, 2021. With that, I'll turn it over to Bob Dechant, CEO.
Bob Dechant: Thank you, Brinlea. Good afternoon everyone and thank you all for joining us today as Karl and I share our third quarter results. I'm excited to announce that Q3 was the highest growth quarter in our company's history. We delivered organic revenue growth of 19%, which accelerated from an impressive 13% growth in Q2. This continues to be driven by our omnichannel solutions integrated with Wave X Technologies and business analytics across both our new and existing clients. Our revenue generated from new clients won since FY 2016. Those we call BPO 2.0 clients grew by its highest rate ever this quarter, at 60% year-over-year and from 57% in Q2. This strong growth is a testament not only to our ability to attract and partner with new clients, but also our strategy to expand our solutions and differentiate in the marketplace. Most excited that these new customers now make up 70% of our total company revenues, up from 52% a year ago. And I believe we are well-positioned to continue growth above our historical 10% rate. Our revenue growth is driven primarily by our continued success in our profitable new logo engine, which sells differentiated BPO 2.0 solutions to many of the world's best brands. This quarter, we won seven new clients for a total of 19 year-to-date and these wins span across our key verticals and geographies. We have had an amazing success in the FinTech and HealthTech space. This quarter, we had two significant wins in these verticals. Our success has enabled these two key verticals to grow by 100% over the prior year and now represent 25% of our total revenues. Expanding into these verticals insulates the business from the impact of seasonality seen with some of our other verticals and leads to increase stability of the revenue base across the fiscal year. We are also excelling in the digital first space. To highlight one of our important client wins, the number one job search marketplace in the world has partnered with IBEX to deliver premium customer experience support for SMB customers in the U.S. Our solution centralized their program in our English-first Jamaican market and offered a highly scalable geographic solution for future growth. This is an example of how IBEX's award-winning BPO 2.0 capabilities are leveraged to deliver differentiated solutions, enabling us to displace their prior partner. With additional new customer wins since the quarter closed, we are on track to generate approximately $15 million of in-year revenue from our new clients and expect this cohort of new customers to generate well over $100 million in revenue in FY 2023. Another key vector for our revenue growth is expansion within our embedded base clients, where we continue to win market share and grow client spend by winning new lines of businesses, new additional services, and new geographies. I'm incredibly proud in our ability to rapidly expand with these great brands. As an example, in Q2, we launched in the U.S. with Opendoor, a leading digital platform for residential real estate to support their customers who are buying and selling homes online. Since the launch, we quickly expanded to provide a multi-geo solution that adds back office processes to the customer-facing support, while helping our clients greatly improve efficiency and productivity in a very complex process. As a result of our new client wins and expansions, we have created a business where our client diversification is among the best in the industry, and continues to strengthen. Comparing to the year ago quarter, our top five customers now represent 38.5% of our revenue, down from 49.4%. Our top 10 customers now represent 56% of total revenues versus 69% and our top 25 customers now represent 84% of the revenues, down from 90%. Our business is now driven firmly by this dominant growth engine. However, our overall growth has been offset by the continued decline of our legacy three clients, which now represent only 19% of our revenue compared to 34% in the year ago quarter. We expect this trajectory among this cohort to continue into FY 2023 as a result of organic demand decline and the strategic decision that allowed us to replace our lowest margin business within this client group with the new higher margin HealthTech industry client, We've been able to utilize skilled frontline agents that were previously dedicated to this client to scale in the U.S., while we also expand into the Philippines with this HealthTech client. This transition and subsequent ramp should be completed by early Q1 and we project this new client to be a top five client for FY 2023. Wage inflation and labor shortages continue to deliver unprecedented challenges. We see this amplified, in particular, in the U.S. We are addressing this by successfully negotiating price increases with many of our clients. We have also been able to include Cola provisions in several of our newer contracts that we believe will help mitigate this effect on our P&L. However, there's another part of the story that is creating a meaningful opportunity for IBEX. New and existing clients are facing operational challenges and margin pressure from these rising labor costs. Clients are engaging IBEX during this challenging time to develop solutions that help them overcome this dynamic. This presents an opportunity for IBEX to demonstrate clear ROI and efficiency gains for our clients. We believe this will be a tailwind to our growth as clients are forced to reevaluate cost structures and contact center strategies going forward, while looking for innovative digital partners. A great example of this was a win we had last quarter with a leading hotel brand with over 600 property franchisees that for many years operated 100% of their contact centers internally. Adding to their challenges and complexity is a digital transformation that they are in the process of implementing for their guests. While wage inflation and COVID simultaneously made it very challenging to operate their centers, IBEX was able to start in Q2 with an integrated omnichannel proof-of-concept launch in Jamaica that was very successful. This led to C suite level discussions where IBEX will take over all their operations, including a rebadge of their U.S. operations, along with continued growth in Jamaica, in the future launch into Honduras, which we expect to complete by October. We expect more opportunities like this to continue to present themselves given the ongoing wage pressures. Moving to our profitability, adjusted EBITDA margins improved sequentially this quarter to 14.6%, but continue to experience some pressures compared to last year as a result of our business growing at a faster pace. The largest driver this quarter, was a $2 million increase in agent training costs associated with ramping our business to attain our very strong revenue growth. If agent training cost held steady compared to last year, adjusted EBITDA margins would have been greater than 16% and up on a year-over-year basis. We are encouraged about the outlook of margin improvements over the mid-term. The markets in which we operate are now beginning to remove social distancing requirements. As we continue to win and onboard new programs, we expect a meaningful margin improvement beginning next fiscal year. We also have the ability to grow revenue into our existing footprint by over $150 million. Looking ahead, we believe we have reached our peak spending, while we have built out world-class capacity to sell into for our clients over the last two years. Our free cash flow on a normalized basis, excluding working capital changes was almost $10 million for the quarter, up 67% year-over-year. While Karl will review this in greater detail, we expect to see significantly lower capital needs going forward to support our growth and expect an inflection in our free cash flow beginning in FY 2023. Recently, the Philippines has been an area of concern discussed by several of our competitors on recent conference calls with the government's tax laws impacting margins and the ability to bring employees back to their centers. We are pleased to report that this continues to be one of our best performing geographies and the tax implications for IBEX are relatively negligible as a result of the foresight of management to have both PEZA-approved and non-PEZA sites. This allows us to give our employees the choice between in-center and work-from-home jobs without incurring financial or operational challenges. Our competitive position in the market remains strong and continues to be validated by the increase in demand from our existing and new clients. In regard to our capital allocation, our net cash position on our balance sheet continues to offer us tremendous amount of flexibility when opportunities present themselves. As a reminder, our Board has authorized us to repurchase up to 20 million of our common stock and we're excited to continue executing at such attractive prices. In closing, we are on-track to complete the company's highest growth year. As such, we are reaffirming our full year guidance. Looking forward to FY 2023 and beyond, we expect to sustain a revenue trajectory firmly in excess of 10% per annum. The majority of our footprint today is operating in a socially distanced model complemented with work-at-home. As we move forward to a world where we are able to resume pre-COVID operating models, we are in an optimal position to significantly grow with limited CapEx investments. We are confident this will soon have a meaningful and positive impact on our margins and free cash flow. We plan to share our future goals and strategic initiatives in more detail later this year. I will now turn the call over to Karl. Karl?
Karl Gabel: Thank you, Bob and good afternoon, everyone. Thank you for joining the call today. We continue to be excited about our overall results. We delivered a strong third quarter with record year-over-year organic revenue growth of 18.6%, driven primarily by our integrated omnichannel solutions across both our new and existing clients. Our strategic HealthTech and FinTech vertical markets continue to expand as we capitalize on those large and growing addressable markets. In addition, our sustainable performance consistently underscores the ongoing response to our differentiated services and technology platform solutions, and serves as the foundation in helping our clients transform their customer experience. In my discussions of financial results, references to revenue and income or on an IFRS basis, while adjusted net income, adjusted EBITDA, and adjusted earnings per share are on a non-GAAP basis. Reconciliations of our IFRS to non-GAAP measures are included in the tables attached to our earnings press release. Third quarter revenue increased 18.6% to $129.1 million compared to $108.8 million in the prior year quarter. We continue to experience high growth in our clients won since fiscal year 2016. This cohort grew by 60% over the prior year quarter and now represents 70% of our total revenue. The revenue growth this quarter was offset by continued decreases related to our legacy three clients, which now represent only 90% of our total revenue. Net income in the third quarter was $6.6 million compared to negative $0.2 million for the same period last year. The increase in net income was primarily driven by stronger operating results, which included a decrease in non-recurring costs and a deferred tax benefit recognized in the current quarter. We expect our annual effective tax rate to be in the high single-digits on a normalized basis excluding the effects of the warrant fair value adjustment and a one-time deferred tax benefit of approximately $4 million. This tax benefit is being recognized in the second half of this fiscal year, reflecting the benefits of our ongoing tax planning efforts. On a non-GAAP basis, adjusted net income was $10.7 million versus $6 million in the prior year quarter and adjusted fully diluted earnings per share was $0.57 versus $0.32 in the prior quarter. The increase in adjusted net income and adjusted fully diluted earnings per share was primarily driven by stronger operating results and tax benefits recognized in the current quarter. Adjusted EBITDA for the third quarter of fiscal year 2022 was $18.8 million or 14.6% revenue compared to $16.7 million or 15.3% of revenue in the prior year quarter. The adjusted EBITDA margin decreased compared to the prior year quarter, primarily due to an increase in the agent training costs, associated with ramping our business, investment in overhead to support our growth, and the opening of our Honduras delivery center. Sequentially, adjusted EBITDA margin increased 110 basis points over the second quarter. Switching to our verticals, our FinTech and HealthTech verticals continue to grow as a result of our past investments, increasing significantly to 24.6% of revenue in the third quarter, up from 14.5% of revenue in the third quarter of fiscal year 2021. Retail and e-commerce now represents 20.3% of revenue compared to 18.1% in the prior year quarter as we continue to win in a digital-first marketplace. Our exposures to the telecommunications vertical decreased to 17.1% of revenue as compared to 29.2% a year ago. Our top 10 clients now account for 56% of total revenue, down from 69% in the year ago quarter. In summary, we have made great progress on our revenue diversification goals. Total capital expenditures were $6.1 million or 4.7% of revenue in the third quarter of fiscal year 2022 versus $6.3 million or 5.8% of revenue last year. Net cash generated from operations was $12 million for the quarter compared to $13.9 million in the third quarter of fiscal year 2021. Excluding the impact of working capital, net cash generated from operations increased to $15.5 billion compared to $11.9 million in the prior year quarter, driven primarily by stronger operating results. DSOs were 60 days for the third quarter, an increase of 10 days for the same period last year and decreased two days sequentially. The year-over-year increase was driven by revenue growth and one of our larger clients reverting to standard payment terms in the fourth quarter of fiscal year 2021. Non-GAAP free cash flow decreased to $5.9 million from $7.6 million in the prior year, primarily due to lower cash generated from operations. Non-GAAP free cash flow excluding the impact of working capital increased to $9.4 million from $5.7 million on approximately the same amount of capital expenditures. As mentioned by Bob, we expect significantly lower capital expenditures next year as we grow into our recently built out capacity. Our balance sheet remains strong and we ended the quarter with $41.5 million in cash, total borrowings of $27.4 million, and lease liability is $90.6 million compared to cash of $57.8 million, total borrowings of $28.5 million, and lease liabilities of $84 million as of June 2021. In closing, we believe we are extremely well-positioned for continued growth. Our high win rate success and backlog coupled with the expansion of new lines of business and geographic expansion with our existing client base and our investments in evolution in our Wave X Technology suite ensures IBEX remains at the forefront of innovation in the BPO industry. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of David Koning from Baird. Your question please.
David Koning: Yes. Hey, guys, congrats. Good job across the board.
Bob Dechant: Thanks David. We got -- we were pleased with our results, yes. Thanks.
David Koning: Yes, that's great. And maybe first of all, just this quarter diverged a little from the normal trend, usually Q3 is down a little more sequentially. It was hardly down sequentially in our seasonally weaker periods. So, clearly, the momentum is strong. Should the pace be normal in Q4? Or was there anything kind of non-normal in Q3 that kind of helped lift up revenue a little bit? Or is it just kind of, steady as she goes from here?
Bob Dechant: Sure. So, thanks for calling that out. Yes, we've had a lot of seasonality historically, in Q2, as you go to Q3 and Q4, that goes down and ramps down. Now, David, the success we've had in the HealthTech and FinTech space, is structurally changing our business from heavy seasonality Q2 to where we have now, I think, a much more stable business as we look through the -- really through the fiscal quarters. And so I feel like we've structured the business to operate like this, kind of, on a on a go-forward basis. Now, I do want to call out that as we kind of did the swap of our low-margin client for our HealthTech client, it's kind of pieced that in our Q4. And so there's a -- there will be a little guess what I'll say just a little revenue loss in the quarter as we, you know, as we just kind of peace, you know, peace from what was low-margin to this new client, what we feel good structurally about how the business looks, kind of, going out over the next four quarters.
David Koning: Yes, got you. Thanks. And then that was a nice color, you've got about $150 million of revenue capacity in your current footprint, meaning, CapEx can kind of go down., as we think about margins going forward, it sounds like A, you're switching into higher margin work on average. B you've got, you've got this capacity. So, as you grow, your D&A can be levered, operating expense can be levered. Is that the way to think about it? Or is there some offset right now? I mean, obviously, wage inflation in some of those things that could offset, but I mean, should margins keep going up? Maybe I'll kind of all those topics, I guess.
Bob Dechant: Sure. So, David, and I think you've followed this from pre-COVID. But really pre-COVID, we -- as a business had had a slope of our margin that, you know, we were at a higher slope of that than our revenue growth. So, think of us as a 10% revenue growth and we were driving margin improvements at a much higher rate than that. COVID has got us a little bit off of that what had been a several year trajectory. I think we're getting back on to that. And that's what I'm really excited about. And so as you as you identified, all of those elements are now starting to stack up for us. Certainly, the backdrop, though, as you also highlighted is just a lot of volatility around and inflation and wages and all of that stuff. So, we're thinking cautiously around those impacts, but I do love our overall trends and the overall trajectory is out over the next several years.
David Koning: Got you. That's great. Thanks guys.
Bob Dechant: Thanks, David.
Operator: Thank you. Our next question comes from the line of Tobey Sommer from Truist Securities. Your question please.
Jasper Bibb: Hey, good afternoon. This is Jasper Bibb on for Tobey. As we've seen growth decelerated some of the larger consumer-facing tech companies. Are you seeing any impact on your new economy clients and their willingness to invest in customer support?
Bob Dechant: Great question, Jasper and thanks for that. And so -- look, I think we're all aware of how the e-commerce world is -- volumes are starting to -- their businesses are starting to see some headwinds on that as well as some of the other the other areas in the new economy world. And so we are seeing some of that in our overall business and in the overall -- their overall enterprise volumes. Now, what we've been very successful in is delivering and then taking market share. So, inside of that dynamic, we're taking market share, which I think is allowing us to be less subject to those headwinds that they're having. And one thing I will say is quite the opposite of they're not willing to invest into the customer experience and their customer relationships. They -- we are joined at the hip with them. And so that is the one fundamental part of their business that they are vigilant on, I will say it like that. And as a result, in spite of -- they work with us in things like price increases if we need to adjust wages to keep our agents in IBEX and that that is a classic example of investing into those relationships and into their partners like IBEX. So, I feel very good about our overall ability to win with that headwind that's out there. And I will say the other element is many are looking at further areas of their internal operation to outsource more. So, there's a whole another what I'll say a vector of growth inside that as they look at all areas to try to take cost out of their businesses.
Jasper Bibb: Thanks for that. And then any changes to how clients are thinking about allocating [indiscernible] between offshore, nearshore, and the U..S given some of the inflationary pressures they might be dealing with?
Bob Dechant: Sure. So, the example that I gave around our hotel clients is we're seeing this across the swath of clients that starts with them evaluating their own captive operations and realizing it is very, very difficult for them to operate their internal centers. And so they look at a couple of dimensions. They look at dimension one, should we move this to a partner like IBEX in the U.S. market? But they are also looking and saying, what areas of that business can we and should we be moving into a low-cost labor market? And so our discussions with clients are really on two dimensions that allow us to solve those almost simultaneously, which allows us to take some of their internal captives, their internal operations, move some of that into the U.S., while at the same time moving some of it into a market like Jamaica. So, they get gains, they get the ability to take cost out of the equation. We are able to run the U.S. centers more efficiently, more effectively. We're also able to leverage the low-cost markets to really take -- make some big impacts into their overall cost. So, overall, I see it as a great tailwind for us as a business.
Jasper Bibb: No, that makes sense. Last question for me, I just wanted to ask about the recent elections in the Philippines and if you're seeing any expected impacts on your business or in the industry as a result?
Bob Dechant: No impact at all. I'll just say when you go back to the prior elections, there was a lot of concern with the buyers at that point in time when the [indiscernible] came into office. And shortly, they all realized there was no issues. As it relates to the elections and with Bongbong Marcos winning, big supporter of BPO. So, I don't see any change from a client standpoint. Any concerns no tapping of the brakes. I'd say at the prior election, there was a little bit of tapping of the brakes, I don't see any of that. I think everybody realizes that there will be a peaceful transition of power and that that power absolutely supports the BPO world.
Jasper Bibb: Thanks for taking the questions, guys. I'll--
Bob Dechant: Yes, thanks for your questions Jasper.
Operator: Thank you. Our next question comes from the line of Matthew Roswell from RBC. Your question please.
Matthew Roswell: Yes, good evening. Congratulations on a nice quarter. Couple of questions.
Bob Dechant: Thanks Matthew.
Matthew Roswell: I guess first on the legacy business, are you willing to talk about sort of how much it declined in the quarter? And then as we think about the decline in fourth quarter and going into next year, how much of that is sort of you're transitioning away? And how much of that would you describe as sort of the client going back?
Bob Dechant: Sure. So, on -- let me say, last quarter, I highlighted that sequentially that cohort of clients had started to flatten out. And it was down a little bit in Q3, that they as a cohort were down a little bit, but let's say mostly sequentially low single-digits down. That is now -- I would say is -- but if you step back, we've been in that 30% -- the last four or five quarters have been more on the 30% to 40% per annum decline. I expect that for 2023, we're going to continue on that percentage of the decline. If I look at that cohort, the lion's share of that decline is as we swapped out our lowest-margin client for a really exciting relationship with a HealthTech company that goes across multiple geographies. And so we have a little bit of what I would say is organic demand decline in what's left, but that is, kind of, off of its, kind of, aggressive decline and mostly kind of hitting that -- that flatten out everything. Look, I -- here's the way and I'll just say here's the way I think about that business. I think at some point in time, either it's -- it levels off and -- because of just the absolute size of that that it basically will level off, that's what we're -- we think we can operate to as we look down the road, kind of, past 2023. However, the worst case scenario is if it kind of sunsets off, it'll be so. It is now such a small part of the business that it's not going to impact our business. And that said, that part of our business is really the kind of voice-centric, lower-margin commoditized part of our business. And so given the opportunity, we thought it was a great opportunity to, kind of, engage a go-forward client that fits our BPO 2.0.
Matthew Roswell: Okay. It might be a little early for this question. But you sign a lot of great new logos in the last three years, is there a point or are we approaching the point where you stop, kind of, -- you concentrate less on signing the new logos as opposed to just getting more share at those logos?
Bob Dechant: Look, we are -- I think we do a really good job of taking market share inside those new logos. And so I look at it is it really is an and. And let me -- when I -- when we shared this, I think, last quarter might have been the quarter before, but one of our big wins from FY 2019, so now that's fast-forward, that's, kind of, three plus years into that, we've won massive market share in there where we've doubled the size of our business, and now they've moved themselves into our top three client bases. There are opportunities inside that base to continue to do that and we're pushing those. That being said, I think it's an and -- I think, with the trajectory that we have and that these lines -- the lion's share of the business that we're winning goes into our very high margins, geographies. That growth allows us to stack up and get margin gains on their growth vectors, or our margin drivers. And so we're committed to staying a growth leader in this space because it really works well for us. And I think we're going to get ourselves back into as we start building this capacity, where you're going to see margin expansion accelerating and that's pretty exciting for us.
Matthew Roswell: Excellent. And one more if I can sneak it in for Karl. I think you said that the tax benefit was $4 million off in the second half of 2022, what's the split between this quarter and next quarter?
Karl Gabel: Yes, I would look at that, I think, just overall good quarters, obviously, have some differences. But when we look at $4 million by the end of the fiscal year and you can look at the comments we made, it was high single-digits on a normalized basis, excluding the fair value of the work and the one-time for the $4 million. So, not to give me an answer on the split, but I think if you use that comments for the full year, it'll help you with the calculations.
Matthew Roswell: Okay, excellent. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Ashwin Shirvaikar from Citi. Your question please.
Ashwin Shirvaikar: Thank you and good job on the on the topline, especially. I guess that's sort of where my first question is. Is the unchanged outlook does imply a very wide growth range for full 4Q? And would you say that you currently -- just based on all the positive commentary you had and traction you're getting into 4Q, would you say you're leaning more towards the upper part of the range? Or are there factors that could cause that to not be true? And then there's a corresponding question, of course, on the margin side because we -- I think we probably need margins to kind of step somewhere close to 17% in Q4, would that be accurate?
Bob Dechant: Sure Ashwin and thanks for that question. And as always, your mathematics are very spot on. So, let me just touch on first the topline side. If we had decided not to really disengage with the low margin -- let's say that we did not do that, I'm pretty confident that this business would be sitting on the upper end range from a revenue standpoint. But the opportunities came for us to do this and it was the right thing to do, especially as we would move into our Q1, which is a very difficult high ramp, no training paid, and then move to really low margins. So, the decision to move past that, I think, is a great move that as we look to Q4 now, or our full year, there's a range. But because we're basically doing a transition, there is a little revenue loss along that, kind of, say -- I would just sit and say -- I would not say that we're steering this to the high end. If we had not done anything, we'd certainly be towards the high end of that range. And so that's how we're looking at that on -- from a revenue standpoint. Now, from a margin standpoint, you're right, it implies as a very strong margin quarter. And that's why, kind of, highlighted on a normalized basis, our Q3 would have been in the 16% plus range, with, kind of, continued strengthening and Q4 for us is a less of a significant ramping and significant training quarter. So, that's how we're thinking about that is really the overall operating performance in the quarter was very strong. And as we kind of moved to their -- we're hoping that margins continue to move.
Ashwin Shirvaikar: Understood. No, thank you for that detail. The other question, more for operating question, I guess, is, as you shrink or walk away from the legacy part, can you perhaps use the same talent, maybe with a little bit of training on the new stuff or does that require sort of a bigger reset-restart? Could you talk about some of the dynamics of that, because I'm thinking that could be ongoing potential margin benefits as we head into next year? Would that be accurate?
Bob Dechant: So, great question. And the answer to the can you reuse the talent is I have to say it depends. And it depends on, first what markets you're going from and to, so -- and how that fits into a client strategy. This opportunity was very unique and tailor-made, because we've been able to deploy. And in my remarks, I highlighted this and let me just clarify to make sure that that's understood. In this opportunity, we're able to take the lion's share of those agents and rapidly retrain them and deploy them on our HealthTech client. And that was a very unique -- that was a really great opportunity for us to do that, which made that decision and the ability to redeploy those with what we think is a more strategic client -- a BPO 2.0 client that made it a solid reason to go ahead and do that. That won't happen every single time, if -- but that's where we look and say, we can be opportunistic about our business. And we're not worried about what that does to our growth engine because I think we have this really inherent growth engine that we built that is really, really on solid footing, which gives us the ability to move swiftly when the opportunities come. And so if I step back, we will have this new client, which will be a top five client, we'll have them across the U.S. and in the Philippines and then our provincial Philippines in particular, which is one of our most profitable regions. And we'll have that put together by mid-Q1 and we'll be in a really ideal environment at going forward. And so I feel very good about, kind of, the upsides of moves like this.
Ashwin Shirvaikar: Right now appreciate the detail on the timing and the nuances there. All the best. Thank you.
Bob Dechant: Great. Thanks Ashwin.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bob Dechant, CEO, for any further remarks.
Bob Dechant: Jonathan, thank you. And appreciate all you listen to the call. In closing, this team is doing an amazing job dealing with all the challenges and turbulence in this marketplace and I feel like we have built a very, very strong and resilient business that navigates us well through some challenging times and we look forward to bigger and better things as we as we move forward. So, thank you all. And I'd like to thank my team for just the amazing job that they do on a day-in and day-out basis. So, thank you all. Have a good night.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.